Operator: Ladies and gentlemen, thank you for standing by and welcome to the World Fuel Services 2018 First Quarter Earnings Conference Call. My name is Ash and I will be coordinating the call this evening. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. Instructions on how to ask a question will be given at the beginning of the Q&A session. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, April 26, 2018. I would now like to turn the conference over to Mr. Glenn Klevitz, World Fuel's Vice President, Assistant Treasurer and Investor Relations. Mr. Klevitz, you may begin your conference.
Glenn Klevitz: Thank you, Ash. Good evening everyone and welcome to the World Fuel Services first quarter 2018 earnings conference call. I am Glenn Klevitz, World Fuel's Assistant Treasurer and I will be doing the introductions on this evening's call, alongside our live slide presentation. This call is also available via webcast. To access this webcast or future webcasts, please visit World Fuel's Service Corporation website and click on the webcast icon. With us on the call today are Michael Kasbar, Chairman and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. By now, you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started, I would like to review World Fuel's Safe Harbor statement. Certain statements made today, including comments about World Fuel's expectations regarding future plans and performance are forward-looking statements that are subject to a range of uncertainties and risks that could cause World Fuel's actual results to materially differ from the forward-looking information. A description of the risk factors that could cause these results to materially differ from these projections can be found on World Fuel's most recent Form 10-K and other reports filed with the Securities and Exchange Commission. World Fuel assumes no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes certain non-GAAP financial measures as defined in Regulation G. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in World Fuel's press release and can be found on its website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. As with prior conference calls we ask that members of the media and individual private investors on the line participate in listen-only mode. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you, Glenn and good afternoon everyone. Thanks for joining us today. Overall it was a good quarter for us. We opened the year benefiting from recent improvements in cost management, a focus on rationalizing parts of our portfolio and executing in key operational areas. Ira will take us through the financials and then I'll make some further comments and we'll save some time for Q&A. Ira?
Ira Birns: Thank you, Mike and good evening everyone. Today we announced adjusted net income of $35 million for the first quarter, that's an increase of $400,000 when compared to the first quarter of 2017. Adjusted diluted earnings per share was $0.52 in the first quarter, that's up $0.02 from the first quarter of last year. Consolidated revenue for the first quarter was $9.2 billion, that's up 12% compared to the first quarter of 2017. This increase was principally due to a 22% year-over-year increase in oil prices, compared to the first quarter of last year offset in part by lower volume in the marine and land segments which I will discuss shortly. Our aviation segment volume was 2 billion gallons in the first quarter, up approximately a 135 million gallons or 7% year-over-year. Volume growth in our aviation segment was derived principally from our core retail operations in North America and EMEA as well as our acquired international physical fuelling operations. Volume in our marine segment for the first quarter was 5.8 million metric tons, that's down approximately 1.1 million metric tons or 16% year-over-year. The largest drivers for the volume reduction relate to our operations in the Asia Pac region and our decision to exit certain low margin or unprofitable markets which we spoke about last quarter. Our land segment volume was 1.46 billion gallons and gallon equivalents during the first quarter, set down approximately 40 million gallons with 3% compared to the first quarter of 2017. The decline in land segment volumes is principally driven by the reduction in supply and trading activities during the first quarter. And total consolidated volume in the first quarter was 4.9 billion gallons, that represents a decrease of approximately 180 million gallons or 4% year-over-year. Before I continue with our financial overview please note that the following figures exclude $4.8 million of pretax non operational expenses in the first quarter, as well as non operational items in previously reported periods as highlighted in our earnings release. The non operational expenses are principally comprised of acquisition related expenses and severance costs. To assist all of you in reconciling results published on our earnings release and 10-Q the breakdown of the $4.8 million of non operational expenses can be found on our website and on the last slide of our webcast presentation today. Consolidated gross profit for the first quarter was $244 million that's a $12 million increase or 5% increase compared to the first quarter of last year. Our aviation segment contributed $110 million in gross profit in the first quarter that's an increase of $10 million or 10% compared to the first quarter of 2017. Commercial activity in North America and Europe increased year-over-year and despite lower margins from our recently renewed government contract contributions from our NCS government business also increased when compared to the first quarter of last year driven by increased volumes and continues spot in the region. We still expect contributions from these activities to decline over the course of 2018. As you look to the second quarter we expect seasonal sequential increases in our core resale business which should be the principal driver of strong aviation results in the second quarter. The Marine segment generated first quarter gross profit of $31 million that's down $2 million, or 7% year-over-year but up $2 million or 8% sequentially. The year-over-year gross profit decline was principally driven by the reasons described earlier. However, the stronger-than-expected sequential growth was principally driven by increased activity in our offshore business and the sale of price risk management products. Continued increases in bunker prices which increased more than 20% in the first quarter alone likely contributed to greater success in these lines of business. Additionally, our cost reduction initiatives also positively contributed to the Marine segment profitability in the first quarter. Looking ahead to the second quarter, we are cautiously optimistic about delivering another good quarter in Marine. However quarter to date we are running at the same pace as you were in the first quarter at the same time during the quarter. Our land segment delivered gross profit of $102 million in the first quarter, an increase of $4 million or 5% year-over-year. The increase in gross profit was principally driven by a strong contribution from our activities in the UK, which benefited from the first seasonally cold winter in a few years. Gross profit associated with our multiservice payment solutions business was $17 million in the first quarter that's up 20% year-over-year, demonstrating the continued growth of our global FinTech payments platform. Second quarter results in land segment are expected to decrease sequentially coming off of the strong seasonal gains we realized in the first quarter. Operating expenses in the first quarter excluding our provision for bad debt and nonoperational items were $180 million in line with the mean estimate that we provided on last quarter's call. That is $5.3 million up year-over-year but down $8.1 million sequentially. Excluding the expenses related to acquired companies operating expenses were up $1.6 million year-over-year but down $9.8 million sequentially. The sequential decrease in expenses principally relates to our cost reduction initiatives, offset in part by expenses of recently acquired companies. In the second quarter we expect operating expenses excluding bad debt and nonoperational items to be in the range of $177 million to $181 million, again, we remain focused on improving cost efficiencies and dropping more gross profit to the bottom line. Last year's expense ratio is nonmetric we are looking to repeat. Therefore, we continually evaluate our cost structure throughout the company in both our commercial segments as well as functional corporate departments that aim to drive the year-over-year reduction in this metric of at least 250 basis points in 2018 and another 250 basis points in 2019 with additional improvement in 2020 and beyond. Consolidated income from operations for the first quarter was $62 million up $8 million or 14% year-over-year, reflecting solid gross profit performance as well as the benefit of our cost reduction programs. Adjusted EBITDA was $81 million in the first quarter, up from $77 million in the first quarter of 2017 and $61 million in the fourth quarter of 2017. Trailing 12 months EBITDA increased to $305 million up from $301 million at year end. Non-operating expenses, which is principally comprised of interest expense was $18.6 million in the first quarter. This represents $5 million increase year-over-year, principally related to higher average interest rates compared to the first quarter of last year. I would assume interest expense will be in a range of $16 million to $19 million in the second quarter. Our effective tax rate in the first quarter was 19.3% compared to 16% in the first quarter of last year. This is a result of tax reform. Changes in our tax rate will likely still be a bit of a rocky road over the next few quarters. Our first quarter rate wind up lower than we anticipated driven by some early post-tax reform effects. However, our rate will most likely increase to the mid-20s, or possibly even higher over the balance of the year again, due to many of the new elements of the tax code post-tax reform. Our total accounts receivable balance was $2.7 billion at quarter end, that's an increase of approximately $450 million year-over-year, principally due to higher fuel prices. Inventory investments supporting strategic and seasonal opportunities, combined with the sharp increase in fuel prices were the principal drivers of $108 million of negative operating cash flow as historically defined for the first quarter. If you take a look at our cash flow statement, you will see that operating cash flow for the quarter is reflected as negative $229 million. This is a result of the new accounting standard, which applies to receivable sales activity. These option of this new standard did not have any impact from the timing or amounts of cash flows, however, it simply resulted in a change in classification from operating activities to investing activities. So this quarter, you will see a $121 million use of cash from operations offset by $120 million of positive cash flow from investing activities. We are currently reviewing opportunities to amend our related to receivable facilities, which could eliminate this issue going forward. In any event while we use cash in the first quarter for the reasons described we remained focused on delivering positive cash flow for the full year despite higher fuel prices. So in closing and before I turn it back over to Mike all three of our segments delivered solid results in the first quarter, significantly rebounding from the fourth quarter. Our operating expenses declined sequentially and meaningfully so, demonstrating our continued commitment to drive greater efficiencies in our business model. We still have a lot of hard work ahead of us but we are getting more adept at driving cost efficiencies throughout our business, while at the same time investing in growth, where appropriate. So I'd not like to turn the call back over to Mike for some additional commentary before we open the call up to Q&A.
Michael Kasbar: Thank you, Ira. Our aviation business volume growth exemplifies the differentiated value add, we bring to the jet fuel marketplace. Our combination of third-party inventory, distribution and technology is a winning formula that we're replicating in all of our businesses. Our marine business is doing an excellent job of managing costs and repositioning the business within the supply chain. We are committed to the global marine logistic markets and are well positioned to meet the requirements of 2020 by virtue of our global sourcing and distribution capabilities including LNG. We are reallocating capital in our land business, trimming inventory levels which have produced variable results in a times lower returns and allocating more investment to an end to end zero touch distribution model where clients can order products on a smart phone. Our NCS and government business performed well and continues to demonstrate our complex physical logistics capabilities. Multiservice is increasing its operational sophistication and global reach. Despite its modest size we remain optimistic about its business pipeline and prospects to accelerate profitable growth. Our connect energy group is expanding its range of services to a broader range of small and medium-sized natural gas and powered customers which is dovetailing nicely with our existing C&I clients and aggregates demand with our larger client base to create purchasing and supply efficiencies. Today we operate a platform that creates efficiency and simplicity in global complex energy logistics and payments in 225 countries and territories. We have an increased focus on sharpening our portfolio, reallocating capital and rationalizing infrastructure costs, SG&A and operations. We are using an agile methodology to drive a leaner management system. This is driving our ability to allocate capital for better returns, methodically improve our OpEx ratio and drive growth. As a key part of this, we are aggressively leveraging cloud technologies and AI automation to drive speed to market at lower cost over the next two years. I'd now like to turn the call over to the operator to begin our Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Ben Nolan with Stifel. Your line is open. Please proceed with your question.
Ben Nolan: I wanted to follow up with something Ira, that you had mentioned in the marine business that it seems like the first time in a long time there was an uptick in the crisis management, part of that aspect, and really is that -- I don't know, is that something you would think is -- you're continuing thus far in the quarter and are -- maybe more importantly, are you starting to see people think critically about how they're going to address their needs for the 2020 regulations and was there any preemptive hedging or anything like that that's beginning to happen that might actually be beneficial for your business?
Ira Birns: I'll cover the first part of your question, and let Mike chime in on 2020 of that, so, thanks for the question. Look we're certainly happy with some of the incremental results we saw coming out of the first quarter that I described in Marine. In terms of the hedging piece of the puzzle that's a tough one, prices are up pretty meaningfully. So more people are seen to be thinking about doing some hedging and they might have thought about doing that for quite some time. The question is how sustainable is what we picked up in the first quarter, it's kind of spotty. We got a couple more transactions with the hedge component associated with them that were nice wins for us. Whether that continues or not into the second quarter or third quarter it's really tough to forecast. Thus far this quarter we are not running at the same pace, we were in -- halfway through the first quarter or [thoroughly] through the first quarter. So I purposely use the word cautiously optimistic because it seems like those opportunities that resurface the bid, how much they are going to drive incremental profitability is really a difficult one to know now.
Michael Kasbar: And I will just add some further color to that. By and large the market place believes that prices are range bound despite what we are hearing in the news and hearing lot of stuff in these days, post fracking world Saudi and Russia got greater spare capacity, lot of discipline there which is incredibly surprising that. Despite some of the talk about Iran, I don't think people seem to be worried, airlines aren't hedging. So we have the capability, I think we're pretty sophisticated on that. We use that for own inventory management so we're at the ready and its part of our offering but it's not something that I think we're forecasting to be a big [deed] of mover but we're ready if and when more volatility comes in. And some folks use that to manage their exposure more conservatively than others. On the 2020 hedging, there maybe some of that that will come through as we get closer. I'm personally not aware of the people taking large approaches on that, it's been an incredible wait-and-see, certainly some people gone to the [scrubbers] and LNG but for the most part a lot of folks are thinking I think investments already, the marketplace for economic reasons are just sitting and waiting, I think we are well positioned to be able to deal with them.
Ben Nolan: Okay and then another thing that's come up was that your inventory levels are a little bit higher. I'm curious if that is a bit structural or is there something that we should agree to going forward in terms of how you guys are structuring the balance sheet and how much inventory you think, you need to have optimally and to serve your customers? Is there a change I guess in how you are thinking about the business from an inventory perspective?
Ira Birns: Not really Ben, good question, again. In the first quarter there were two specific factors that drove most of the increase, so I would say, if I put those aside for a moment our core day to day business that involves the inventory pieces of puzzle the only that really had an impact the first quarter was price nothing really changed. As a matter of fact, in land we're down a few gallons in terms of the amount of inventory we are holding, aviation is pretty steady as was marine. But the two factors outside of that that were impacting the first quarter just said marine. So starting with marine we had actually one of the things that contributed to more profitability in the first quarter was some seasonal business right here in this neck of the woods here in Florida, you could imagine what industry that might support. And that required investment and inventory that was already dropping off from the peak of where it was during the first quarter is that kind of peak season is over. And then the other piece of the pie related to our government business in Afghanistan where we consciously worked with our principal customer there to add some levels of reserve as it mitigated against the risks of things like order closures, et cetera. We are getting compensated for that. So we invested some more -- that will be there for a while that's a short-to-medium term investment. That's not going to turn around overnight. But it seems to be very sensible move for both sides of that equitation. Everything else, again was pretty steady and we don't expect any material changes in inventory balances outside of potential price fluctuations in the next couple of quarters.
Michael Kasbar: And I'll take the opportunity to just add a little bit more color to that because as we look at inventory as we've gone through the sort of three cycles of evolution within oil fuel. We started out as a asset light underwriter creating value for others in the marketplace and then went into an inventory base commodity market maker with crude oil and [well] and you've heard me talk about it before. And now we're in our current evolution as a distribution and service network coming up with more ratable returns. So there is four methods of the sale, and we have our third party, which is where we came from. We have our physical which breaks down into inventory as well as distribution assets. And then we have virtual what I call 3PV and those were the four ways that we basically satisfied customers' demand. So on the aviation side we have inventory because its strategic to have -- if we didn't put inventory in some locations there would be no supply. There were many manufacturers, jet fuel had no interest in supplying it into wings. So it's a bit of a peculiarity if you will of that particular business model, and we got in tough markets there. Today we have inventory in 35 countries. In our Marine business we started to penetrate the chain in niche markets. And that's worked out pretty well for us developing some capability there. And then in our land business again it's for the same reason and its strategic and evaluating. The choice is there in terms of third-party [rack] supply inventory. But now we have distribution assets in 16 countries and 11 states. And then in terms of fuel cards and our ability to drive e-commerce courtesy of multiservice and app card we continue to expand that. We are making investments and putting more dollars into those types of investments to create internal efficiencies for us as zero touch end to end eliminating some of the internal manual processes, using robotics but then also creating convenience for our customers to basically procure fuel and to integrate more completely with our operation. So long way away from inventory but I thought that was an opportunity just to lay out a little bit of the current business model and how we are looking at the allocation and the returns and optimizing that. So going with standardized accounting systems and looking at consolidating those areas, some of cloud-based that Jeff Smith and his team are driving is I think going to create additional opportunities for us to derive better service at lower cost. So, anyway. Sorry to -- inventory but I thought it was worth to share that.
Ben Nolan: I think honestly that was -- certainly what I was driving at there as kind of how inventory relates to the strategy where the company is on a holistic level, so it was very helpful. I appreciate it. Thanks guys.
Operator: Our next question comes from the line of Ken Hoexter with Merrill Lynch. Your line is open. Please proceed with your question.
Ken Hoexter: Michael, Ira and Glenn maybe I don't know if it's I guess it's Michael if you want to talk about the land business you were just talking a bit, you kind of hit on a lot of things, zero touch, off the web, you can order off the web, robotics, maybe just you also threw at the beginning rationalizing some of the stuff you're working on. Maybe walk me through what's going on? I mean land volumes came down, Ira you mentioned that through your presentation but is it now different than just distributing fuel to gas stations selling in a wholesale model, owning some of those assets? Maybe talk to me about what you're doing because you just, Michael you threw out a lot of different things that seemed very different than from what I understood, the land business to be, and I want to understand the rationalization part since volumes were down year-on-year?
Michael Kasbar: So, we are predominantly in the U.S., the UK and Brazil. Although our intention is to go global because it is a global business and we've got the ability to do that in the aforementioned methods of fulfillment. So we grew up internationally. Many of us started by doing business globally, so we have a global orientation in our company, ships and planes go over the world, and if you're going to play that game, then you start out with the global orientation. So there's absolutely no reason why our land business should be global, so just want to start out with that. So, we entered that space in 2004 de novo, that was an interesting experience. We went to the retail business in 2008 and aggregated a good amount of that in the Midwest, so that was supplying fuel by full truckloads to gas stations under multiyear contracts. We still have that, it's a good business. We like it. So that's a chunky piece of our business in the U.S. We recently in 2016 we diversified into C&I, let me sort of backtrack a little bit. We started out in 2004 wholesale against the rack to distributors that were looking for credit and some pricing and some derivatives and we had expertise in all of that. That was interesting, 2018 wasn't such a great strategy, and we decided to move into the retail business, which we built up a certain amount of concentration in the Midwest. 2016 we went into the C&I business and we've got Western rather -- sorry, 2010 was Western -- the reason we acquired Western was because we were consolidating the three business aviation branded and unbranded distribution businesses to FBO. So today we distribute to about 1,400 FBOs under contract and they also had a "land business with inventory," that's where we are using our entrepreneurial roots. Told the thread on real business going North to South in Canada as well as crude oil we built a state of the art crude oil shipping terminal that was great while it lasted. Of course, the market crash Q4, of '14 and Q1 of '15 and these are kind stock there and we have a lot of other issues there as everybody well knows. We got involved in lubricants. Western was a extremely diversified business and we exported all of it and made a good amount of money, but the market changed. So we had to unwind many of those things which we are now more aggressively unwinding. Some of those take a while to unwind and we are now much more highly focused on trimming the portfolio, and aggressively eliminating that and freeing up that constrained working capital to reallocate to deploy the higher return business in our core business activity. So within our land business we still have a retail business. We like that business. It's a good business. We have our C&I business with the acquisitions that you well know, in terms of [AP&P and Pepco}. Pepco got a little bit hit with the East Coast transition the supply market in terms of changing. So as I've mentioned in the past we are restructuring that business to be more recurring revenue and more retail. A good amount of our cross selling and selling activities are getting more aggressive on the selling side. Our connect business and gas business has a good crossover, I made a comment to that in my prepared remarks, where its common customers. So we do have an interesting ability now to go after those common C&I customers. So today it's our retail business, our C&I business in the U.S., we've got a UK business, which is operating a hell of lot better today, we've changed the entire management team there. Now with some of these businesses, there are smaller activities and the one thing that you got to decide is are your supermarket, do you need to have all of these items within your portfolio when we're more aggressively validating that and rationalizing those activities. Brazil is a different story, it's always an interesting venture there and that is a big market. We know the ups and downs of Brazil. But -- so that's our land business for the most part, what have I forgotten, Ira?
Ira Birns: I think you have covered all of it.
Michael Kasbar: I don't know Ken if…
Ken Hoexter: So just to wrap it up, I mean that was [indiscernible].
Michael Kasbar: I'm sorry, let me just tell you about the inventory side within land. We are looking at that where that was fairly robust, and the Arabs have changed and the market is just not as -- it's just not giving you as much as it used to. So we will continue to maintain expertise and inventory in derivatives and distribution because that's what the market needs. So it's really setting up whatever operation is required. Obviously we get better return when you got less amount of working capital deployed but the market to market and we basically approach it with whatever needs to be done. Sorry to interrupt, can I have another question.
Ken Hoexter: I guess, I was just trying to simplify at the end there. So it sounded like to rationalize some parts of that. Does that mean going back down to just simply doing the retail type of operation that while you are distributing the fuel to gas stations in a branded or is it staying as broad with the so many different things going on and I don't know even through like some app based ordering in there in your overview? I just want to -- I'm trying to simplify kind of what the story is for land and then again come back to why it was down?
Michael Kasbar: No, no, no, it was a great question. So we have got retail we have C&I. If you look at this there is a lot of commonality in our businesses. So if you look at now our retail businesses we are ranging for full truckloads to go from a rack from terminal to a gas station. We have our FBO business which is not a lot different. We are ranging a full truck of jet fuel to go from a rack or internal refinery to an FBO. So there is lot of commonality. As we are looking at our C&I business there is a lot of commonality there between serving that customer the liquid fuel as well as their gas and power. So there is a commonality in these businesses all across them where its logistics its procuring fuel and delivering it. With the C&I that could be a laundromat, could be aggregate company, any commercial and industrial user of diesel or gasoline is our customer. And when I talked about that app its people ordering fuel. They want a truck of fuel. So now in the on demand economy and society that we have you have got to provide convenience for them to basically manage their energy and their operations. So that's where the world is going and we are now deploying technology in our operations that are connecting our complete internal systems with our customers' requirements. So that they are able to buy their fuel when they want it, where they want it, how they want it. So that's the name of the game and we are integrating all of that within our business. I hope that's clear.
Ken Hoexter: Let me just ask one question from last quarter. You had mentioned earlier or maybe it's for Ira different things on hedging gains or anything rolling over into the quarter. Is there anything that I think you would recognize something this quarter. Is there something that is still left over in that in the quarterly results that does not go forward for the rest of '18?
Ira Birns: I think what you are referring Ken, yes, thanks for the question, is the $7 million or so that we talked about in the fourth quarter where we took a hedge on the hedge side of the equation and then had a gain on the physical inventory we sold it in the first quarter. So that $7 million all came back during January but that's generally behind us now.
Operator: Our next question comes from the line of Kevin Sterling with Seaport Global Securities. Your line is open. Please proceed with your question.
Kevin Sterling: Michael as we think about the rest of the year because we have had a lot of -- we had some moving parts this quarter, you guys had nice rebound from Q4. Can you give us any color how you're thinking about volume growth in your three segments for the rest of the year just to kind of help us there as we have got some new moving parts?
Michael Kasbar: Well the thing that we've been spending a lot more time on is looking at all of these metrics. Obviously, as you put all the cost structure together, there is a lot of moving parts. So our model obviously is comprised of volume and margin OpEx. So we've been thinking a lot about that lately, as we look at all of the -- this is a lot of where we have been focused on. So this year, I think we've got some work to do, but I think over the next three to five years we feel like we have got a shot if our plans come to fruition in terms of restructuring some of our systems or our portfolio, being able to get a lot more of our financial resources and our people focused on fewer things. That we've got the ability to drive the CAGR over three to five years of about 10% both organic and inorganic. So that -- I don't know if that sounds like to everybody but that's certainly now [lay] up but we think that we have got the ability to do that that as we build our global machine and platform, we should as a system that should be able to aggressively hunt for business. I have mentioned in the past that we are deploying some technology in terms of sales and cross sales. We have got a fairly incredible role with that. I mean if you look at our customer base and customer list it's extraordinary and as we both acquire companies and as we create more connectivity within the organization and we look at the products and services that we have. We feel that we have got something that is differentiated. We have got a strong right to win. We know that within our existing customers if you cross reference our customers demand with our products and services, that there is a lot of white space, so I feel good about it. It's an exciting part of it, I think we're all looking forward to getting back to that place where we've got a lot of capability to execute in the marketplace and getting this global mousetrap that we're building, working a whole lot better. So it's been a transition but we think that that's reasonable to look at a 10% CAGR over the next three to five years both organic and inorganic.
Ira Birns: Just to add to that briefly to the first part of your question Kevin that Mike made part of this, for this year I think one of the principal reasons why we expect volume not to grow is part of the -- to the uncovering of lots and looking through the entire business for where we've got lower margin business, and businesses aren't performing well, where we're looking actually --[checks now] we've been doing that on purpose. As you could see from this quarter we had year-over-year volume declines but our profitability was stronger, so we're -- that's a lot of the story of 2018, I think once we get through '18, it's a nice point, we believe with maybe with a little bit of M&A we should be able to grow 10% a year in volume without much of a problem.
Kevin Sterling: No okay gotcha. You mentioned M&A how does the pipeline work, is there any like maybe new verticals you're looking at or maybe kind of update us on the pipeline, since you did mention M&A if you don't mind?
Ira Birns: There is a lot of opportunity out there, we're certainly not sure of opportunities in the pipeline. Its identifying which opportunities make sense, which valuations make sense, how we could plug and play into our current business as might as we continue to shop in our portfolio, refine it a bit. So take a lot of -- we're looking at the short term is more in line with our core activities in businesses like land as an example. So there is really almost too much out there, to digest sometimes but we are kind of through very carefully as you can all tell, we haven't been overly acquisitive in the past year, two years. But I think the opportunity for us to jump back into the game is getting a bit stronger but we use the cautious word again. Right, we're not going to make an acquisition for sake of making an acquisition but rather doing deals that we think is really going to add some value and provide synergies and help drive one of our existing core lines of business to new levels of growth.
Kevin Sterling: And one last follow-up here if you don't mind. With the rise in -- kind of the steady rise we have seen in oil prices are you seeing the behavior or your customer buying patterns change, kind of with this rise in oil prices? And maybe along those lines are some of your Marine customers, are they feeling a little bit more optimistic about the environment, to that the environment is improving on the Marine side compared to a few years ago. I'm just curious what you are seeing terms of like buying patterns of your customers with this rise in oil prices that is now your Marine customers are feeling a little bit better by the current environment that they operate in?
Michael Kasbar: Kevin I don't think there is a lot to celebrate within the market. I think, this is still a bit of a slog. You have got some of the trade activity but I think [drive] both is from modern expectations but product tanker side maybe has got a bit obviously, what the supply include, what the supply scenario is in terms of production, it's hard to tell. But certainly, I don't think there's anything to celebrate for. Container has sorted themselves out a little bit. But I think its steady as she goes. I am not -- I don't think there is anything that is particularly noticeable or that has changed in the recent period.
Ira Birns: On the buying side just to answer your question there. There is some moderate activity as you have seen in our results. That remains to be seen. I still believe that the markets are more or less range down second change. We certainly are at the ready to handle that but we're not forecasting that. So -- and we're not forecasting that in how we're structuring our costs. So I think probably the more important thing that folks may want to hear is that in the past, I made these comments, it was really about looking at the next opportunity to make a significant amount of profit in high margin areas. And we're structuring the company, such that we're dealing within our recurring revenue and flow business and should those opportunities present themselves to us they are [worthy]. So I think maybe that's the more important comment there but we are committed to the Marine industry. We think it makes sense. We think we've got a good synergy between our land business and our Marine business, our natural gas business in terms of provisioning LNG. We think we have got a very good mousetrap within Marine, we have got a great organization. But we are not forecasting any robust increase and it's just continuing to provide a superior service for our clientele and also penetrating a supply chain and select those, as we have done with aviation and using technology which we have.
Operator: Mr. Kasbar at this time, I would like to turn the call back over to you for closing remarks.
Michael Kasbar: Okay, well thanks everybody. Appreciate you taking the time to listen to this quarter's results. Thanks for your support and we look forward to talking to you again next quarter. And take care, have a good evening.
Operator: Ladies and gentlemen that does conclude the conference call for today.